Operator: Good day ladies and gentlemen, and welcome to the Q2 2015 Investor Call. I would now like to turn the meeting over to Mr. Michael Kuta. Please go ahead Mr. Kuta.
Michael Kuta: Thank you, Paul. Good morning, ladies and gentlemen. Welcome to the Q2 2015 investor conference call of Amerigo Resources Ltd. on Thursday, August 13, 2015. Before we begin our presentation, let me caution you that our comments and discussions will include forward-looking statements and information within the meaning of Applicable Securities Legislation. Although we believe that the anticipated future results, performance or achievements expressed or implied by the forward-looking statements and information are based on reasonable assumptions and expectations, you should not place undue reliance on forward-looking statements and information because they involve unknown and known risks, uncertainties and other factors, which may cause the actual results, performance or achievements of the Company to differ materially from anticipated future results, performance or achievements expressed or implied by such forward-looking statements and information. You should review our press release issued August 12, 2015 and our other documents filed with the Securities Authorities in Canada, including our Annual Information Form under the heading Description of the Business Risk Factors. These documents describe the material factors and assumptions that were applied in drawing the conclusions and making the forecast and projections as reflected in the forward-looking statements and information and the material factors that could cause our actual results, performance or achievements to differ materially. Except as required by law, we undertake no obligation to update or revise any forward-looking statements or information made in this presentation. Now, I would like to introduce our Chairman and CEO, Dr. Klaus Zeitler.
Klaus Zeitler: Thank you, Michael. Ladies and gentlemen, I will just make few short comments only because you will hear less and less from me in the future and you will hear more and more from our President, our very competent President and Chief Financial Officer. So, I will just give you a very short flavor of where we are. And I’ll just cover the two subjects, our present operations and our Cauquenes expansion. And as you know we had to make after the quarter, a quarter which was certainly not a good one from the financial point of view, but also from operations it wasn’t great, and I’m sure Rob will comment on that. You know that after the quarter we shut down the Colihues historical tailings production and that was necessary because as the press release says of the deterioration of the material and I just want to give flavor for that, it was not only that we encountered lower grades, which of course has also an effect on recoveries, but what was very important was that we encountered significantly less course material and that had the major effect on recoveries. So, when we did a calculation on that basis and considering present metal prices, we just couldn't see that that it would be worthwhile to continue operating in Colihues because we were losing money in the last two or three months from that operation. So, we have shut down Colihues and that freed up quite a few people, which we are now using in the construction of Cauquenes and as we said in our press release we are on schedule and on budget at this point, and despite the fact that we have to battle against the El Teniente yield. This year we are still very confident that we would be in production in the fourth quarter of this year. And that will be very important for our future because again as we have said in the past already, we are expecting a significant reduction in operating costs once we start production from Cauquenes. So, as I said despite the fact that we encountered very heavy rains in the last little while in Chile, we are still confident that we will be operating in the fourth quarter and that's quite an achievement considering that we only close the financing for this project at the end of March and we are now probably between 75% and 80% complete in this project. One of the reasons that we are confident is that we anticipated that we could run into the [indiscernible] situation and we therefore advanced civil works as fast as we could for the sum, for the construction of the road and so on, and we have basically completed that; and that helps us to keep our schedule. I think that's basically what I’d like to say. As you know, the prices of commodities and of course also copper has further come down since the end of the quarter. So, don't expect any miracles in the third quarter, but we, as I said we certainly hope to show significant better results in the fourth quarter of this year. And with that I’d like to hand over to Rob to give you a little bit more details and more flavor to the operations and to Cauquenes.
Rob Henderson: Thanks Klaus, and as Klaus the second quarter of this year was another tough quarter from operations perspective, predominantly due to the production from Colihues. However, in MVC did well to contain costs and they operated safely with no employee lost time incidents. MVC produced 9.1 million pounds of copper at a cash cost of $2.15 per pound. And as Klaus mention after the quarter ended we suspended production from Colihues on July 20, primarily in response to the ongoing low copper prices. This suspension was approximately three months earlier than planned as the tailings contains in the scheduled extraction zone contained way more economies of fine material than we expected and this adversely affected tonnage and recovery of copper from the zone. So, with Colihues ending three months early we revised our annual production guidance down to a range of 43 million to 48 million pounds of copper at an annual cash cost of 195 to 215 per pound of copper. The operational efforts have been refocused on the development of the Cauquenes tailings, deposit as Klaus mentioned is on budget and on target to commence production in Q4 of this year. And the first stage of this project is expect to significantly increase MVC annual copper production to approximately 70 million pounds for the year and reduce the unit cash cost to below 175 per pound. That will be a material difference from where we are today. As Klaus mentioned the project is over 75% complete and doing well despite the rains. The molybdenum production remains suspended due to the prevailing low moly prices, and the low moly grade and our feed material. Our focus is on cost production efforts right now and we are paying particular attention to our labor administration and services cost production potentials. We have redeployed Colihues workers to assist on accelerating Cauquenes and MVC are implementing a number of continuous improvement initiatives, mainly to reduce power costs and improved metal recovery going forward. So, essentially the focus on the next two quarters is getting Cauquenes up and running, as fast as we can and to bring cost down as low as we can. I will now hand over to Aurora Davidson to discuss the Q2 financials.
Aurora Davidson: Thank you, Klaus and Rob. As has been mentioned earlier in the call, the second quarter results for Amerigo were affected by lower than expected production levels and also by low copper prices. Both of which contributed to the company posting a net loss of $2 million or $0.01 per share. On the positive side MVC has continued to make important progress reducing operating costs. While the result of these efforts or not finally apparent on a unit cost bases due to our current low production levels, we expect them to have significant positive impact when the Cauquenes operations commence later this year. Cost reductions have contributed not only continuing to generate operating cash flow on a year-to-date basis despite low copper prices and low production. A substantial part of our efforts in this year have concentrated in the Cauquenes expansion, which is scheduled to be completed in time, in budget and to be fully funded from the company's existing facilities even if current low copper prices persist. At June 30, funding of $12.3 million had been received from the main bank facility for BBVA and Export Development Canada and the first thing to experiment on those facilities took place precisely June 30. The first capital repayment on the main facility scheduled for June 30, 2016. And June 30, the company had a cash position of $10.7 million and a working capital of $12.8 million. At the same date, we also had $58.2 million of undrawn committed credit facilities which ensure the completion of the project and the continuity of operations and the current low copper prices. That is the extent of my comments and I think that we are now open to questions.
Klaus Zeitler: Operator, we’re going to take questions please.
Operator: Thank you. We will now take questions from the telephone lines. [Operator Instructions] The first question is from John Tumazos from [indiscernible]. Please go ahead. Your line is now open.
Unidentified Analyst: Hello. Thank you for having the call. How many days of your stockpiles do you have at the mill and are operations at El Teniente stable and normal despite the protests or actions a couple of other Codelco sites.
Klaus Zeitler: Hi, John. Regarding your first question, stockpiles essentially we don’t have any stockpiles. We got all the tailings material in the impoundments and Cauquenes and Colihues, they are to take up but we don’t have any additional material outside of that. And the material we get from El Teniente basically comes straight down the tailings line, so there is no comment for the fresh tailings and essentially we have no stockpiles and we didn’t had any stockpiles. El Teniente is running normally with regard to strikes and things like that, they haven’t been affected unlike some of the other mines in the north from Codelco. So essentially El Teniente is running normally. They also had some issues with water on the mills on the open pits, there is slow in pit production which is actually good for us because that material doesn’t have good recoveries. But essentially, Teniente is running well and their recoveries and the grades are good from El Teniente.
Unidentified Analyst: If you could help us understand the local culture. Why do employees or contractors of Codelco ask for large raises on the price of copper? It’s almost half of peak levels.
Klaus Zeitler: So that’s a very complicated question. We just had a discussion just this morning and yesterday. First of all, I think there are still a lot of people, politicians, I would say industry leaders, definitely union leaders who just don’t believe that this is the real copper price. They think this is just like 2008, 2009 quick downturn and a quick upturn, and therefore they feel pretty confident. I think that that has a lot to do with it. Secondly, there has always been a difference in pay structure between employees of Codelco and contractors, and when you go back in history that has been something which ever so often boils over and so I mean you are certainly correct to ask, why would it boil over at this terrible time of commodity prices, but as we have told these people and these unions, they don’t really care whether a company makes money or not. They just look at their own benefit and they saw, well, we will get something out of it. I think that sort of the mindset.
Unidentified Analyst: I’m going to ask one more. If Codelco had difficulties with its finances and the CapEx at El Teniente by Codelco was half of planned levels, how long do you think El Teniente would continue to produce at current rates?
Rob Henderson: That’s an interest question. I would say still for us a significant time and they are new level of construction that they are budgeted to build in that. They operate building through already take sum out for another 40 years. So still we are only to do the portion of that. I don’t know what the ratio is year-to-year to dollars, but I will hang it out and at this case it’s still be good for another 10 years to 15 years even if it stopped developing.
Unidentified Analyst: So you’re stronger at Codelco operation.
Rob Henderson: El Teniente is a remarkable ore body. It is huge, its massive and its continuous. It is certainly one of the best Codelco operations out there.
Unidentified Analyst: [indiscernible] copper price is very close to a level where Codelco would borrow from the treasury rather than finance it.
Rob Henderson: Absolutely.
Klaus Zeitler: Sure.
Unidentified Analyst: And the $3 billion investment in [indiscernible] where private company with IFRS accounting would be an impairment based on the failure to recover, I was thinking the difficulty of marketing concentrates and the politicians are kind of want to fund capital programs or failures when they could still expand the money.
Klaus Zeitler: Yes. That’s a political decision. We don’t know what they would do. But just one thought and I have no information about how this would be implied but Chile has a huge what you call that, huge sovereign fund which they have accumulated - the state has accumulated over the past years when copper prices were very good. Now what they will do with that sovereign fund I don’t know but I’m just mentioning that they do have that.
Unidentified Analyst: Congratulations on your survival and progress.
Klaus Zeitler: Thank you.
Rob Henderson: Thanks, John.
Operator: Thank you. [Operator Instructions] The next question is from Stephen Aldridge from Vancouver. Please go ahead.
Unidentified Analyst: Good day everybody.
Klaus Zeitler: Hi, Stephen.
Aurora Davidson: Hello, Stephen.
Rob Henderson: Hi, Stephen.
Unidentified Analyst: Question for you is, can you compare the grade that you’re going to be getting from Cauquenes with the grade you’ve been getting from Colihues.
Klaus Zeitler: Yes, sure. In very rough terms, the grade from the fresh is 0.1, the grade from Colihues is meant to be 0.2 although it’s been less than 0.2, and the grade from Cauquenes is in the order of 0.3.
Unidentified Analyst: Okay. So you’re going to be three times the grade of Colihues.
Klaus Zeitler: Three times the grade of fresh. It’s [indiscernible] grade of Colihues.
Unidentified Analyst: Okay.
Rob Henderson: Lately as you said, Colihues was been down. So Colihues was at about 0.15, so the grade at Cauquenes will be double of what we were encountering in the last few months.
Unidentified Analyst: You mentioned that the material in Colihues was a lot of refine material and that was affecting your recovery. Why is that? I mean it’s already ground to a smaller particle side of it.
Klaus Zeitler: It is but our biggest cost item at MVC is our grinding mills and what it does is breakup the course particles and liberate the copper that hasn’t been liberated previously. So when you see that there is a bunch of big dusts. There is no copper to be liberated and we don’t see a huge fit in recovery. So where we’re mining from Colihues, that happens to be where all the slangs have migrated from the years of deposition in Colihues. All the very fine material has migrated to the zone where we were operating in and that very fine material doesn’t have the course copper. And in addition, that fine material takes a lot of flotation residence time to get the copper out. So there are number of factors but essentially the fine material is not good stuff for the plant. The plant is not really design for fun material and we rely on grinding the course material to get most of our copper. So when there is no course material, we see a reduction in copper recovery.
Rob Henderson: And we are expecting course material in Cauquenes.
Klaus Zeitler: We do. We haven’t drilled holes in Cauquenes. We didn’t had any drill holes in Colihues. So at least we have data in Cauquenes, so know we are getting into – we’ve done the test to know that the material is there so we are a lot more confident of material in Cauquenes.
Rob Henderson: And the reason for that, that we have drill holes in Cauquenes is because that was an ease by [indiscernible] while as you may know Colihues was almost 80% covered in water.
Unidentified Analyst: Okay. Where you pay royalties to Codelco, it’s the same royalty that were coming from fresh tailings or from say Cauquenes.
Klaus Zeitler: No, it’s a different formula. The royalty for Cauquenes is higher than for the Freddie [ph].
Unidentified Analyst: That’s because of the grade that….
Klaus Zeitler: Yes.
Unidentified Analyst: And you said it’s raining a lot down at growth right now.
Klaus Zeitler: Not today. It’s has been last week, very heavy. One day over 100 millimeters.
Unidentified Analyst: I assume that’s Vancouver. The best kind of be doing at this rain is going to be good for hydro generation into the future, is that correct?
Klaus Zeitler: That is true. That will.
Unidentified Analyst: Okay.
Klaus Zeitler: And it’s also – we rely on water for our hydraulic monitoring so we an area in Colihues which collects water and that’s above target in terms of filling with water. So we are confident we will have enough water to operate next year.
Unidentified Analyst: Okay. So the oil is all the way it’s over to Cauquenes and to pump the material down.
Klaus Zeitler: Yes. So we store the water in Colihues and pump it up to Cauquenes.
Unidentified Analyst: Okay. That’s all from me. Let somebody else have a go.
Klaus Zeitler: Thanks, Stephen.
Operator: Thank you. There are no further questions registered at this time. I would now like to turn the meeting back to Mr. Kuta.
Michael Kuta: Thank you, Paul. Thank you everyone for attending our Q2 call and we look forward to talking to you again for our Q3 call which will be in November. Thanks very much.
Operator: Thank you. The conference is now ended. Please disconnect your lines at this time and we thank you for your participation.